Matthijs Storm: Good morning, ladies and gentlemen. First of all, apologies for the later start. We were supposed to start at 10 Oâclock, but we had some technical issues which are now solved.  So, happy to be here this morning. I'm Matthijs Storm, the CEO of Wereldhave. I'm together with Dennis de Vreede, our CFO. We will take you through the presentation of the first half 2022 earnings. Before we start, if you have any questions, you're used to the chat function in the bottom of your screen to ask your questions, your Q&A. It's a little bit different this time, you can submit your questions by email to our Investor Relations, Jeroen Piket, with the email address, investor.relations@wereldhave.com. You can also do so during this webcast and at the end of our presentation we will address the questions.  So, let us start with the first half results. The key messages. First of all, if you look at the leasing performance in our portfolio, despite all the macroeconomic news that you are watching on television and in the newspapers, I think the leading performance has been remarkably strong, particularly in our Dutch portfolio, where over the past couple of years, we've seen negative leading spreads, in some years even double digit. Over the first half of 2022, we had a positive leasing spread in the Netherlands. We'll get back to that later. But I think that's one of the positive signs of these results.  Next to that, we had 16% like-for-like rental growth in our core portfolio, which is, of course, to an extent driven by the fact that we had less COVID in this first half of the year, but even adjusted for that, we've seen strong rental growth in our portfolio.  Footfall is particularly strong in the Netherlands and in Belgium. We're almost back at 2019 levels, sales as well. And I think if you compare that to the market, if we compare that to the local indices or footfall and sales, I think we are clearly outperforming.  To an extent, that's also driven by the success of our full service centers. We've completed the first two. In the second half of the year, we will complete another three, but you will see later in the presentation that the full service centers that have been completed are generating footfall and sales well above the portfolio average.  Lastly, on valuations, we had positive revaluations in the first half of 2022. That's also a while ago. And we think that's a good sign. Presikhaaf, our first full service center in the Netherlands, went up by plus 3%.  If we then go to the key numbers for the first half of the year, I won't go through all of them. The direct result per share obviously went down because we sold for larger French centers in the first half of 2021. If you adjust for that, there would have been growth.  The total result per share at â¬0.84, again, that's a while ago that we had such a strong results. If you annualize this figure, we would have had over 8% total return which is above the European benchmark and also above our own internal targets, which is a good sign.  Lastly, mixed use. What you've seen over the past two years, because of COVID, is that the increase in mixed use has been pretty slow. What we've seen in the first half of the year is that we've increased almost to 12%. So we're getting up to speed.  If we look at like-for-like rental growth, we've come out at 15.7% for the core portfolio. I've already mentioned that, again, to an extent driven by the lack of COVID discounts in the first half of this year, but also driven by the positive leasing spreads and occupancy.  If we go into those numbers, the leasing spreads and occupancy again, the Netherlands is a number to highlight, plus 0.1%. Letâs call it flat. We've done a lot of package deals with Dutch retailers over the past couple of years. We've pulled a lot of the pain forward. And this is a reason why we now come into the positive territory again, actually a little bit earlier than we anticipated. With those investors with whom we've had a conversation after the full-year results, we've highlighted that we thought that in this year we would still have a minus 3%, minus 4% leasing spreads, so I think it's a good sign that we're already at a flattish level. In addition to that, if you look at the leasing spreads versus ERV, plus 7.2% for the core portfolio that also underpins that we can feel very comfortably about evaluations.  Lastly, occupancy. I wanted to highlight France. Even though the two assets in Paris and Bordeaux are earmarked for sale, we've had a very good operational portfolio performance. Occupancy went up from 94% to 96.6%. We signed a lot of good leases. I will get back to that later. But I think that's a good sign. We have a new country director there, Jean-Philippe Pinteaux, who has made a really good start of the year.  Then we go to the full service centers. Again, we've completed two assets in 2021. And if you look at the performance of those two assets, they were outperforming in 2021, and that outperformance continues. You can see it here in the MGR uplift of plus 7%, but also in the total return of 7.2%. I think this again underpins the fact that full service centers are showing a better performance than the assets in development or the shopping centers.  Footfall, I've already mentioned that. We are outperforming the indices in our core markets. You can see the numbers here yourself in the charts.  And then, we wanted to highlight the Dutch market, in particular. If we look at the Dutch market today and with the current macroeconomic developments, the fears of a Euro crisis, I think the Netherlands on a relative basis stands out as a particularly strong investment case.  If you look at economic growth in the left hand bar chart, you can see that that is forecasted to be a little bit above average. Whereas on the other hand, on the right hand side, the bond yields in the Netherlands are amongst the lowest. The 10-year bond yield stands at 1.5%. If you compare that to a portfolio yield of 6.7%, with full indexation of 8% to 9%, I think in the history of this company since 1930, we've never had such a high real spread between property yields and real interest rates.  Then we go to the Dutch consumer, which is, of course, like all consumers in Europe at the moment impacted by the macroeconomic developments â inflation, energy prices, and so on. I think it's good to know that the Dutch consumer in previous crises like the Global Financial Crisis, but also the previous Euro crisis, has been pretty resilient. And I think there's a good reason for that. You can see that in the numbers in the text on this slide.  Dutch consumers typically have mortgages with fixed rates. There's very little consumer debt. There are high savings quotes. And the Dutch consumer is also supported pretty much by the Dutch government. Also, relatively to other European countries, there's quite high government support. So, of course, there will be impact for the digital consumer. But I think on a relative basis, that impact is pretty limited.  If we then go to the impact of online and where we are in the leasing market, what we've always been mentioning is that, basically, if you look at Europe, the UK is first in terms of broadband penetration and internet and online. The Netherlands would come out second. Actually, if you look at the chart here on the left, you can see that the Netherlands has surpassed the UK in terms of broadband penetration. ecommerce is a mature market in a country like the Netherlands, and that is different, of course, than in France or Italy or Spain, countries that still need to catch up.  If we then compare that to the leasing spreads, and of course, this is now a scientific correlation or causality, but what we see is an interesting comparison, is that leading spreads have been negative for the past couple of years, but have turned positive now for the first time since 2016. And we think that the ecommerce market in the Netherlands, the saturation, combined with the fact that we have done so many package deals with retailers over the past years, means that we're now in a position that we will continue to see positive leasing spreads.  Our strategy, LifeCentral, in addition to that also makes Wereldhave more resilient in the current economic context. What we always look at is the total daily life exposure, convenience exposure, if you wish, which is now 62% of our rental. If you look at this chart, you can see it was only 51% when we launched the strategy. So even if the recession would get worse, I think we're pretty much shielded, at least to a certain extent, by the more defensive, non-discretionary exposure that we've built up in the portfolio. If we focus on Belgium after the focus on the Netherlands, I think the team in Belgium has done an excellent job, particularly on the leasing front. 46 retail deals, but also 11 offers deals. Office is not the focus of our portfolio, but we've had a significant increase in occupancy rate, particularly of our Antwerp Office Park, because we signed 11 deals and there are a lot more in the pipeline, I can tell you.  One retail deal I want to highlight is Kiabi in Tournai Les Bastions, our full service center in Les Bastions. Two years ago, we had the departure of Zara in this center. We have been searching for a quality replacement. Kiabi is an offer we didn't have in the center yet. We know from the French portfolio, it is a quality retailer. Weâre very happy that we signed the lease with them in the first half of 2022.  If we then go to the French market, I've already mentioned the occupancy rate, which increased, but also sales are at 6% of both 2019 for the two centers we own. I think this again underpins the quality of the centers in Paris and Bordeaux versus the four assets we sold because I'm quite confident that they will show a different figure. Leasing, as mentioned, occupancy went up. We signed a large lease with Basic-Fit in CÃ´tÃ© Seine, but also leases with IKEA, Normal and Starbucks in Meriadeck, very active quarter. And we're very satisfied with that.  If we then go to the direct results, I wonât spend too much time on this slide because I think it speaks for itself. Of course, we have a lower direct result than last year because of the disposals. There's less COVID impact this year, but also a strong leasing market, which is helping the direct result to grow to â¬39.4 million. There's a small increase in the cost base. We'll get back to that later.  On that cost side going forward, it remains critical for us. Phase-out France has happened, but there will still be a cost benefit once we've sold the last two assets. Changing the headquarters, we've been mentioning that now a couple of times. Our lease expires in the current building next year. So next year, we will have to move. So we can promise that next year the cost efficiency coming from the move of the headquarters will come into play.  If we then go to the outlook for 2022, direct result per share, we maintain that at â¬1.55, â¬1.65. Despite the economic context, we feel very confident we will reach that. And the dividend per share will come out between â¬1.16 and â¬1.24.  If we then look at the future, and this is a message we've already conveyed a couple of times, 2022 will be the last year of earnings decline. As of 2023, we will see growth between 4% to 6% per annum. On the sheet, you can see where the growth is coming from. I'd like to repeat again that we did so many package deals with retailers with negative leasing spreads over the past couple of years. That is mostly behind us now. So that means we can see positive leasing spreads, but also completing full service centers with higher occupancy, with fixed leases rather than temps or popups, higher rental levels will all contribute to this earnings growth.  With that, I'd like to change to our CFO, Dennis.
Dennis de Vreede : Thank you, Matthijs. And I'd like to take you through a number of slides presenting our LifeCentral strategy and update. We announced our strategy LifeCentral February 2020. Perhaps at that time, not the best timing given the COVID situation. But I think despite the COVID years and despite the current macroeconomic uncertainties, we are making a very good progress on our strategy.  I highlight a few of those items of our progress. All the transformations are going according to plan and are within the budgets. We have started the works in Vier Meren and in Hoofddorp so far and are delivering against the timeline we already agreed.  We've opened up our service point, a service desk in two more centers in Presikhaaf last year and Koperwiek this year. And two assets, like Matthijs is saying, have been developed, has been completed end of last year. And this year we will develop three more, two more in the Netherlands and one more in Belgium will be completed. To highlight the one in Holland, which has been completed late last year, Presikhaaf in Arnhem. The pictures I think speak for itself. It's really completely renovated. It has been attracting so far already a lot more visitors. I'll get to that more in a minute. A younger audience also has been attracted and I think the highlights there are our convenience went up quite a bit, we've included the healthcare cluster, we are also including more entertainment and then all our additional services like the point, connect, play, relax. I think those are contributing to the success so far of Presikhaaf. We also see that new tenants are attracted by this transformation. And we are anticipating and expecting also to see that already in the next three to be completed, FSCs.  The number of KPIs, again, also here, I'm not going to read them all out, but I think they speak for themselves. Total return for the first half year on Presikhaaf, we calculated at 9.6%. So. basically, beating our target of 6%. Net yield went down with 21 basis points. Our GRI pre transformation went up with about 33%. Our footfall went up by about 40%. So I would definitely say itâs delivering against all the key KPIs.  Ring Kortrijk will be our second full service center in Belgium. It will be completed in Q4 this year. It's a full refurbishment of the exterior. We are including and developing a very large F&B area outside and things are going on track, again, finish before the end of this year. It will be including multiple terraces, has a new KFC unit, new openings in the faÃ§ade to create light. And I would say the next steps there, which will be finished all before the end of the year, is the parking renovation, interior renovation and a roof renovation.  Our second full service center in the Netherlands will be Sterrenburg in Dordrecht. It's very much a convenience focused full service center, expecting to finish that also in the fourth quarter of this year. The big items there are the Jumbo food market, which is an extension outside of the full service center. So it's a doubling of the floor space. We've been creating new units for Lidl and for Kruidvat. Additional parking, we have also included now a food cluster, according to our new, I would say, customer experience concept, which is called Every.Deli. And we've seen a 42 basis points yield compression already before it's even completed. So, it's working quite well.  Our third full service center in the Netherlands will be the completion of the city center transformation, the retail part of Tilburg. I think we started that project already almost six years ago of redevelopment hard work that we are now almost completing this initiative retail development.  The pre-let percentage went up from 36% to over 60% over the past six months. So, very good and very hard work from our leasing team in in the Netherlands, working on this important project to us.  We signed a partnership with Albron, a large food and beverage operator in the Netherlands, and they are introducing and have signed for four of their brands in the Tilburg project, we're very happy with, and a number of other very interesting, you can see on the right hand side, of new retailers.  We do keep a very close eye obviously on our CapEx investments. And on this page, which you have seen before also, we tried to highlight that the risk is very limited that we run at the moment. The exposure is very limited of higher construction prices. You can see on the right hand side that currently at risk is only â¬7 million out of our â¬121 million anticipated raw materials capital expenditure going forward.  Another slide which you have seen before, updated now for the half year numbers. The continued, as we call, evidence that we see in the market now that the full service center yields are going down. Vier Meren is on top, the one in Hoofddorp, you see that â a picture of that on the upper right side of this slide.  Sterrenburg also increased the yield compression. Ring Kortrijk increased. I already mentioned that Presikhaaf increased a bit more. So, I think it's all going in the right direction as we were expecting. A quick snapshot of where we are on our residential opportunities. Not much change. We're working hard on the green part. We do expect this year, the second half year, some gains coming in already regarding the residential program. And in 2023, we expect actually to gain even more residential proceeds.  Just a quick snapshot here from our total return â our performance total shareholder return index as we sourced from Bloomberg. It is â to us, it's very evident that the strategy is being acknowledged, people recognize it. And I think it's another, let's say, push for us, another motivation for us to keep following the path of the LifeCentral strategy.  On financing and valuations to start with. The revaluations, as Matthijs was already mentioning with the highlights, I think in both of our core markets, we see the valuations are going up slightly. Belgium has always been quite stable with the valuations. But now, the Netherlands is also showing positive valuations. The second six months of 2021, we saw already the valuation in Netherlands stabilizing, and this is for the first time that we do really see this going up. So it's very encouraging to see that it starts to work there as well. I think the upgrading process, the leasing performance that really resulted also in upward revaluation in the offices in Belgium, as well as the increased occupancy.  Our LTV development, our LTV went up from 41% approximately to 42.7%. Matthijs mentioned it already. Clearly, this is the result of almost â¬53 million of dividends we paid out in April in Belgium and in the Netherlands. We still keep targeting our LTV between 35% and 40%. By the end of this year, we do expect this 42.7% to go down again as we will not pay obviously any dividends in the second half year.  Our debt profile, this gives you a flavor where we stand compared to end of 2021. Interest-bearing debt went up a bit. Really, the capital expenditures we are spending on the transformation program, as well as the dividends I just mentioned. We have undrawn facilities of close to â¬500 million per today. So, very much ample, very much sufficient to fund our remaining LifeCentral CapEx as you can see there on the right hand side of the page.  Debt maturity went down slightly compared to end of last year. This is not including the fact that we have just signed the paperwork for an extension of a â¬80 million bank loan in Belgium. In fact, there was a â¬30 million facility and â¬50 million facility, which have an average extension of four years. So that will be visible by the end of this year.  Our debt mix and expiry profile. I just mentioned the Belgium success. We are working very much now on the extension, I would say, of our corporate RCF, corporate â¬300 million RCF, which you see is expiring in 2024. We are having very constructive discussions with our core banks to refinance debt before the end of this year.  With that, I'll hand it back to Matthijs for the final slides.
Matthijs Storm : Thank you. Thank you, Dennis. And it already brings us to the last slides and then we can go into the Q&A. I see there's already questions coming in. So that's good.  This is the new management agenda that we presented for the first time with the full-year results. What you can see, the focus is now on growth. I think in the first two years of the strategy, we did a lot of cleanup in terms of selling non-core assets in terms of fixing the balance sheet, I would say. That's behind us. We can now focus on growth.  If you look at earnings and dividend growth, again, as we've mentioned, we will see 4% to 6% as of 2023. If you compare that to some of our retail peers, I think we're quite ahead of the group.  Focus on total return. Our ambition is that the levered total return is above 8%. The unlevered one above 6%, as Dennis already mentioned earlier. If you annualize the first half results, weâre way above 8%. So that is a good sign and that's also the first time since we launched this strategy.  We keep on transforming our full service centers. The impact from the current market for commodity prices and labor so far is quite limited, as Dennis just mentioned in his slides. So we're still on track to deliver our planned full service center transformations.  ESG maintained the GRESB 5 star. That is, of course, still the ambition. NPS, we want to increase to 31. It's stabilizing now over the first half of 2022, but we have a lot of deliveries of concepts and elements in our full service centers in the second half of the year, which we think will further push the Net Promoter Score upward.  Sell the last two assets in France. And I think it's worth mentioning, because I think you will have questions about this, when will that happen? We have two centers left in France. We have Meriadeck in Bordeaux. That asset, we are building an extension in food and beverage, which is fully pre-let and will complete around April next year. That is still on track and on time. We've always said we will start marketing that asset once it is completed. CÃ´tÃ© Seine and Argenteuil in Paris, we've decided to enhance the value a bit more in that center. And we're working on some projects. We've decided to push that sale a little bit further in time. So we think we will sell CÃ´tÃ© Seine in the second half of next year or even the year after, which from a balance sheet perspective and a liquidity perspective is still totally fine. We think that's the best way to generate as much shareholder value as possible.  Lastly, the last phase of the balance sheet de-risking has been mentioned already by Dennis. So, I think this is a good time to pick up the first questions. 
A - Matthijs Storm: And the first one I could see already on the screen. It's a question from ABN AMRO, Steven Boumans. What has changed due to the higher development costs? For example, will the yield on CapEx be below the earlier implied 4%? And how does he get to 4%? Two-thirds of the CapEx is yielding at 6%. One-third is non-yielding. So, yeah, then the blended figure is 4%.  No, that yield on the CapEx will not be below 4%. On the one hand, there will be only a small increase in the construction cost, as Dennis mentioned, but on the other hand, we will be targeting higher rents partly due to the higher-than-forecasted indexation. And also due to the fact that the leasing spreads are positive at the moment. So that figure will certainly not come down.  Is there a higher probability of divesting assets that are unlikely to get to the 6% IRR hurdle? Again, as a reminder, with the full-year 2020 results, we presented our framework. Assets that produce an unlevered IRR below 6% will be sold. Above 6%, we will start the transformations. There's not a higher probability at this stage. But we will continue to monitor that. If assets fall below the 6%, yes, we will sell them. So, we will stick to the framework. So, I think that is important to keep in mind.  Maybe related to that, what will we do to the 6% unlevered IRR threshold? It will likely go up towards the end of the year because interest rates have gone up as well. But if I look at the current IRRs of our projects, they have also increased, again, partly due to the higher indexation.  Maybe, Dennis, you want to go into the next one.
Dennis de Vreede: Another one from Steven. Has any of the developers come back to you on the pre-agreed pricing so far? Do you see any risks here?  Well, I think I demonstrated that, showed it on an earlier slide, slide 27. We do not get significant requests from I think construction companies is what Steven is meaning. Of course, there's discussion. So far, we've just held them to their contract. We will not give in to that.  Do we see any risks in the future? I think for 2022, 2023, we are fully covered with contracts and we will just stick to those contracts. As from 2024, we'll just have to see what will happen, and we'll take it from there. You can count on us that we are obviously very cost conscious. Weâre very disciplined. So if prices will go up, then we will certainly go back to the drawing board and see if the projects are still feasible. Luckily, like Matthijs is saying, rents are still also going up. So, we will make the math at the time, Steven.
Matthijs Storm: The next one is also for you. 
Dennis de Vreede: Next one, yeah. Also, Steven, could you comment on the expected cost of debt development for the next years? Would that entail more bank lending or a reduction in maturities to keep cost of debt lower? Well, of course, the debt so far has been quite low. You could see that, that's slightly over 2%, 2.2%, I believe. We do, of course, see the pressure of the market on our banks. The Belgian extension, to be honest, we just signed, was almost at the previous conditions. So I think it shows the strength of our Belgian entity, our Belgian organization with a low LTV, obviously. We do expect, obviously, that interest rates will go up also for us. We will see over the next six months, what it will do to our corporate RCF, the large â¬300 million facility we are currently in discussions with our bank.
Matthijs Storm: Maybe in addition to that, I think it's also good to mention, I think the 4% to 6% earnings growth weâre guiding, we're sticking to that. Of course, we are anticipating, indeed, maybe a small increase in the cost of debt on that facility. But it's already incorporated into our forecasts. You also have to bear in mind that, from a top line perspective, with the higher indexation we have at the moment we also have the benefit of what's happening in the macroeconomic context.  Now we have a question on the OCR, the occupancy cost ratio. You used to report the Belgian occupancy cost ratio. What is the OCR in Belgium today? And what should it be for the Netherlands?  Good question. Because of COVID, we did not report it because the turnovers were not representative. In one week, there was no turnover. And in other weeks, there was turnover. We've decided to publish OCRs again with the full-year 2022 results both for Belgium and for the Netherlands. In the Netherlands, we now have turnover data for about 62% of the tenants. So this is an ambition of us to increase that and it is increasing. At the moment. I don't have these numbers to hand.  If I look at the data, for example, that we have for the Netherlands and if I look at the fashion industry, I saw our OCR for the fashion retailers, we build a nice dashboard for that, is around 13%. To be honest, I think that is a very sustainable OCR even for an industry and for a segment that we are still wishing to reduce. The full data for the Netherlands and in Belgium, you will see with the full-year 22 results.  If not, do you have any other metrics that could prove affordability for tenants has improved? Well, I think the metric to look at is, first and foremost, the rental levels. We've taken a lot of rental cuts over the last couple of years. I think that in itself already shows that the affordability of the rents and also if you look at the average level, I think it's â¬211 a square meter in our portfolio at the moment. That is a very affordable level, if I compare that to peers.  Then a question. As a management, we've mentioned to the media that indexation was fully priced through so far. What can be expected for the second half of 2022 and later? The same. We will push through indexation for 100% for all the tenants.
Dennis de Vreede: Next one. Are you still looking for acquisitions? For example, in Belgium? Is Belle-Ãle now below the 20% hurdle? And do you expect it to be by year end?  On your first question, Steven, yes, we are looking at acquisitions. I think for us, it's very important, obviously, that it is incremental to EPS. It's not sort of increasing our loan to value ratio too much. So, we could consider using some shares to do that. So, contribution in kind. We have that mandate all the way up to end of October. So, definitely, we are looking for acquisitions. I think this is the second phase of our LifeCentral strategy where we have committed ourselves to grow the portfolio again. But again, here, we're looking for specific locations, which we can redevelop into full service centers. And we're looking at a few at the moment in itself.  Belle-Ãle is still slightly above the 20% mark. I think it was also mentioned in our Belgium press release two days ago. So, by the end of this year, we will either have to make sure it is slightly below the 20% mark or obviously discuss with the FSMA in Belgium, if we can get an exception, a delegation for next year. But we are confident that we will solve this this issue in Belgium over the next six months.
Matthijs Storm: Any update on the divestments, what's the probability of CÃ´tÃ© Seine to be divested this year? I think I've already mentioned that. We think we will CÃ´tÃ© Seine in either 2023 or 2024.  Now we have a question from Herm Meijer. Thank you for the nice and informative presentation. Thank you, Herm. My questions, number one, how do you see ERV developing in your countries? At the moment, we see your ERV going up, Herm, but not to the extent of index of inflation. So, this is also what we forecasted. We think the higher indexation will stick, particularly for the 62% of our rent roll, the 62% of the tenants that are in the daily life convenience category. They were relatively shielded in the COVID period. We think they can afford that, continue to afford the higher rents. We think in the other categories, at least breaks our lease maturities, we will have to give back some of the higher indexation. So, ERV growth won't be able to keep up with the high indexation and inflation. But there is certainly growth. And I think the fact that we have positive leasing spreads, as you saw in one of the earlier slides, underpins that, and that's also our forecast that those numbers will continue to be a plus, again, because we've signed already so many package deals with retailers over the past two years.  Second question from Herm. Is CapEx related to like-for-like rental growth rising?
Dennis de Vreede: I can take the question, Herm. Obviously, it is an important element to make sure that we also attract new tenants or rotate tenants as we are transforming our portfolio. It is an instrument to basically help that process. It's not rising significantly. So, I think our leasing people are doing the right thing.  Secondly, it is, I think, also demonstrating that the full service center strategy or the full service centers itself are attracting tenants. I think they understand or start to understand more and more that it is also supporting their business to be part of a full service center. So, it is it is slightly up compared to last year, what we expect for 2022, but not significantly.
Matthijs Storm: And maybe also good to know, Herm, is that for our commercial people, it's forbidden for full service centers to sign new leases below the old rent levels. So we are confident that even if a tenant is not willing to extend the lease at the old level or above, then they can leave and that weâre confident because we trust in the concept that we can find a replacement. That has happened already in some of the full service centers and you can see the numbers, Herm, that the concept is working.  Then we have another question from Steven Boumans. If the cost of capital increases, shouldn't the IRR target also be increased?  Good question, Steven. We use as a benchmark for Continental European retail, the Green Street weighted average number that they publish, which has increased from 5% to 5.8% from the start of the strategy until today, which is logical because interest rates have increased. So we will do a review, like every year, in November. I think it's very likely that we will move up our IRR target by, let's say, about 75 basis points. 
Matthijs Storm: And then I get the information that that was the last question. So, thank you very much for attending. Apologies again for the later start. Next time we will start again on time. Thanks again. I hope you have a great summer and hope to see all of you back again in person at the EPRA conference after the summer or at the investor meetings. Enjoy it. And have a great break. Thank you.
Dennis de Vreede: Thank you. 